Operator: Hello, and welcome to the Unilever's Q1 2022 Trading Statement. [Operator Instructions] We would like now to hand over to Richard Williams, Unilever's Head of Investor Relations, to begin the presentation.
Richard Williams: Thank you. Good morning, and welcome to Unilever's Q1 2022 trading statement. We expect prepared remarks to be around 30 minutes, followed by Q&A of around 30 minutes. All of today's webcast is available live, transcribed on the screen as part of our accessibility program. First, can I draw your attention to the disclaimer relating to forward-looking statements and non-GAAP measures. And with that, let me hand over to you, Alan.
Alan Jope: Thanks, Richard, and good morning, everyone. In the next few minutes, I'll give a quick overview of our Q1 2022 results. And I'll do that with reference to the very dynamic external environment and in the context of Unilever's continuing 5 strategic priorities. Then Graeme will go into some more details on the results as well as share our outlook for the year. The external environment is characterized really by 3 big themes. And the first and most significant is inflation. As you're aware, Unilever was already seeing significant increases in input costs through 2021. Those inflationary pressures sharply accelerated at the end of last year and into the first quarter. Events in Ukraine have now led to even higher levels of inflation since February. Agricultural products, materials derived from crude oil have been particularly badly hit. And the overall input cost inflation forecast for Unilever in 2022 has risen from EUR 3.6 billion, which we communicated in February, to now EUR 4.8 billion. Now to manage this, we will continue to drive an ambitious saving program and increase prices thoughtfully. These mitigating actions are really an essential component of our ability to protect the shape of our P&L, and so invest competitively in advertising, in R&D and in CapEx. There is still significant uncertainty around our cost for the second half, and Graeme is going to come back to this later. Unilever continues to condemn the war in Ukraine. Our priority has been to protect our people so that they can take care of our businesses. Our business in Ukraine has been severely restricted. We have helped many of our employees to leave the country. And we're supporting both those who left and those who remain with a variety of financial and practical measures. We've also made substantial donations of product and cash to relief efforts. We will, of course, comply with international sanctions, and so suspended all imports and exports of our products to and from Russia. We stopped all capital inflows, and we've committed to not profiting from our operations in Russia. We're keeping our position under closer view. And as we've said many times, our first concern is the safety of our people. COVID is still very much with us. The regional lockdowns in China are a reminder that COVID can still have an impact on both consumer demand patterns and our ability to supply products However, the picture varies dramatically across geographies. And there are many markets which are returning to a new normal. And it's against this extraordinary backdrop that we have delivered quarter 1 USG of 7.3%. That comprises 8.3% price growth and minus 1% volume. We've delivered the strong price growth with only a small impact on volumes, and we think that's due to the strength of our brands. The pricing momentum established during 2021 has continued, with increases being landed across all geographies and all divisions. While we're acutely aware of the pressure on consumers, we believe that increasing prices in response to this extreme commodity cost pressure is the right thing to do. It's critical to enable us to continue to invest in the quality and performance of our brands. We continue to win competitively, 58% of our business is winning market share. And we're being careful not to push pricing levels to a point where we compromise the long-term health of the business. Our market teams are managing the cost, price competitiveness dynamic in real time market by market, channel by channel, brand by brand, week by week. Strong execution is the mantra in our markets. Let me now get into a little bit of detail about quarter 1 through the lens of Unilever's 5 strategic priorities captured in our Compass strategy. And let's start with our brands. Our 13 EUR 1 billion plus brands now make up over 50% of our turnover. And they delivered underlying sales growth of 8.8% in the quarter. Our growth is being underpinned by bigger, better innovation and a constant focus on product superiority validated by continuous testing. Dove has successfully introduced its new core body wash into Europe, North America. The new formulation is true to the brand's core moisturization promise. And it includes new ingredients, which support the skin's self-moisturization process so that it transforms even the driest skin in just one shower. Knorr has introduced Zero Salt Stock Cubes into 15 markets, cracking that technical challenge of offering a product that's rich in flavor but with 0 salt. And this enables us to access the growing salt-sensitive segment of the market and meet the needs of a growing number of consumers across all ages and demographics. And the Dirt is Good core relaunch offers superior cleaning at the lowest washing temperatures and is now rolled out across 35 markets. The products are made from naturally derived cleaning actives and enzymes. The packaging is much more sustainable. It's 100% recyclable. It's got more recycled plastic. In fact, just got up to 80% less plastic than before. Consumers are responding very well to the superior mix. The brand is winning share, and brand power measures are at their highest ever levels. Our second strategic pillar is to move the portfolio into high-growth spaces. In the Q4 results presentation, we shared quite a bit of detail on the growth performance of our acquired businesses. And in the first quarter, the acquisitions that we've made since 2017 grew at 14.8%. And as the chart shows, this drove 80 basis points of accretion to our USG. Prestige Beauty growth of 14% was driven by continued good performance in skin care with a step-up in hair and makeup, with Tatcha, Living Proof and Hourglass, all growing strong double-digits. In functional nutrition, Q1 USG was 18%, and that reflects particularly strong growth from the liquid I.V. and OLLY brands. Organic portfolio evolution and the priorities that we set for innovation and ongoing investment also have a key role to play alongside acquisitions and disposals. And Graeme will shortly give some examples of how organic growth is also contributing to the reshaping of Unilever's portfolio. Now 2022 has begun well for our priority markets: the U.S., India and China. And we have strong business winning reads for all 3. The U.S. grew competitively at 8.9%, with volumes up 2%. And this is despite some service level challenges caused by constrained supply and particularly labor availability. And those have had an impact on production and delivery. India posted 10.4% growth with flat volumes. And this is against a backdrop of flat value market growth and negative market volume. So overall, we're growing well ahead of the market, with business winning in excess of 75%. Our powerful portfolio of brands in India enables us to offer products at different price benefit levels so that we can stay relevant for our consumers. And our brands are successfully championing and opening up new demand spaces in India. For example, laundry capsules, the development of the mayonnaise market with Hellmann's. And this is all with a relentless focus on product superiority and consistently excellent operational execution. And we have been able to navigate tricky market conditions. We're well placed for the challenges ahead. And China delivered 6.4% growth, which was volume-led. There was limited impact in Q1 from the regional lockdowns. But we are expecting a larger impact in Q2, especially from our big Food Solutions business in China. It's not only demand which has been impacted, but also supply. We have a couple of factories around Shanghai, and those have now been shut for several weeks. You can see that all 3 markets grew well, and that's on top of strong first quarter performances in 2021. Next, leading in channels of the future. While eCommerce grew 27% in the quarter, with growth coming from all the main sub-channels. In just 5 years, eCommerce has grown from 2% of Unilever's turnover to 14% now in this quarter. We've invested significant resources in channel expertise, channel-specific innovation, and our tech capabilities. And we're going to continue to do so. We are increasingly designing products with the specific requirements of the eCommerce channel in mind. For example, in recent months, we've launched Persil Dilute At Home. You can see the Robijn Dry Wash that neutralizes odors. It straightens wrinkles, restores the shape of clothes. And Dove Body Wash in a beautiful Forever bottle with eCommerce-friendly concentrated refills. As we set out at the start of the year, our new operating model will support our purpose-led future-fit organization and culture. And the objectives of the changes are simple. They're to make Unilever simpler, faster, more agile, more focused in our categories, and with greater empowerment and accountability. It's a simple model with 5 business groups, a lean corporate center, and a low-cost technology-driven transactional backbone called Unilever Business Operations. We've made very good progress on the implementation of the new structure. All senior leadership teams have now been appointed. And we're on track for the new organization to be fully operational on July 1. And now I'd like to hand over to Graeme for a bit more detail on our quarter 1 performance, Graeme.
Graeme Pitkethly: Thanks, Alan. Good morning, everybody. We delivered 7.3% USG with strong pricing, further building on the improving growth performance that we saw in 2021. All 3 divisions had a solid quarter despite strong comparators, with Q1 being the highest quarter of USG and volume last year. Underlying volume growth was minus 1%, which in the context of significant price increases showed elasticity either within or somewhat lower than we had anticipated. There were some benefit from weaker comparators in parts of the business such as Food Solutions with the food service channel reopening. We are delivering continued good performance in business winning. And our brand strength and product relevance with consumers are allowing us to price responsibly while maintaining competitiveness. This is the balance that we'll have to continue to navigate in the months ahead. The majority of the volume decline was seen in European and Latin American home care and was driven by both pricing action and high prior year comparators. COVID continues to impact our markets. In China, as Alan has said, we saw the introduction of lockdowns towards the end of the quarter. In other markets, we saw some moderation of eCommerce growth as people return to physical store shopping. And in out-of-home, we are seeing the benefits of people starting to travel, socialize and eat out again. If we click down into the performance through the regional lens. Our largest region, Asia, AMET, Rub grew 9.1%, with 8.5% price and 0.5% volume. Priority scale markets, India and China, both performed strongly, as Alan has just mentioned. Elsewhere in the region, Indonesia is starting to turn around, growing nearly 7%, with good performance from Beauty & Personal Care and in foods from scratch cooking products. The actions we are taking to address our Indonesia performance are beginning to bear fruit. But we have more work to do over the coming quarters in terms of strengthening our brand's value proposition and focusing on the quality of our distribution in the trade. Despite increasing consumer confidence, inflation is impacting the Indonesian consumer, and we are seeing continued down-trading to lower price packs. Latin America grew 10% in Q1, with 16% price and minus 6% volume. Price growth of 16% is a further step-up from Q4, which was 14%, as cost inflation continues to increase in Latin America. Despite a long history of this dynamic there, the scale and breadth of the price increases is unprecedented. And while we will continue to price, we will do this responsibly, remaining mindful of the consumer and the long-term health of our businesses there. Elasticity levels have been performing in line with our expectations and reflect the strength of both our brands and our market positions across the LatAm region. North America grew by 8.5%. And we maintained a step-up in competitive market performance delivered over the second half of 2021, with good levels of business winning and 2% volume growth. This was despite the constrained supply we're experiencing in North America that Alan mentioned earlier. Price actions have been executed well across our customer base. And we saw a good growth across Beauty & Personal Care, Foods & Refreshment and especially in our Prestige Beauty and Health and Well-being businesses. Europe grew 0.7%, with 5% from price and minus 4% volume. Many of our markets in Europe continue to decline, and inflation is impacting consumption. We've been working intensely to take the necessary price increases with customers in Europe. And whilst many have been landed, there are still some under discussion. Individual market dynamics vary very widely in Europe. And the Netherlands, Italy and Eastern Europe grew, while the U.K., Germany and France declined, reflecting a combination of weaker market growth, high prior year comparators and pricing action impacting volume as expected. Turnover for the quarter was EUR 13.8 billion, up 11.8% versus 2021. Underlying sales growth contributed 7.3%. And we saw a positive impact from acquisitions and disposals of 0.7%, with the inclusion of Prestige Beauty brand, Paula's Choice, the main contributor to that. Currency had a positive impact of 3.5% as nearly all of our basket of currencies strengthened against the euro. Based on spot rates, we would now expect a full year positive currency translation effect of 4% and a little bit less than that on EPS for 2022. Turning now to our divisions. Beauty & Personal Care grew 7.1% in the first quarter, with 7.4% from price and a 0.3% decline in volume. Price stepped up in all categories in BPC versus full year of 2021. And we expect to see a greater impact of price upon volume going forwards, with a consistent double-digit volume growth of Prestige Beauty offsetting some of this. Deodorants held volume flat. As social and work occasions continue to return across our markets, offset by some consumers down trading. Rexona 72-hour protection provides a premium product, supported by over 17 patents and 200 clinical tests. Dove Deodorant has been relaunched with a mix that offers superior care and efficacy through patented antiperspirant technology with moisturizing cream and protecting oils. We relaunched Lux bar soap across South Asia, North Africa and the Middle East to introduce Pro Glo technology, which is clinically proven to deliver superior skin care benefits. And we've also relaunched our Clear anti-dandruff shampoo in China, with superior scalp care performance and a new marketing mix designed to ensure that the brand remains relevant to a younger demographic. Growth in Food & Refreshment was 6.5% in Q1, with a small decline of 0.6% in volume. Continued out-of-home channel recovery drove the growth in both ice cream and food solutions. Europe grew nearly 50% in out-of-home ice cream following the prior year lockdowns. And we continue to see strong ice cream performance in China. Multiple markets in Food Solutions are back to turnover levels that are higher than those of 2019. But we do remain a little cautious on a complete recovery due to the latest lockdowns in China where we have a large Food Solutions business. We're also mindful of general inflation levels having an impact on consumer discretionary spending, and hence, their eating out habits. Our plant-based innovations in Food and Refreshment are contributing to good growth and helping drive the organic portfolio change that Alan referred to earlier, with Hellmann's vegan extending its labor range and Knorr's plant-based meat extender, Rinde Mas, helping consumers get more servings for their meat dishes without compromise on flavor and nutrition. And The Vegetarian Butcher has partnered with Domino's to bring the irresistible pepperoni pizza to markets across Europe with all of the taste and texture and experience of animal-based pepperoni. The Hellmann's food waste campaign has been a very notable success, especially in the U.S. with the hashtag, Make Taste, Not Waste Super Bowl campaign, featuring Jerod Mayo. The campaign drove higher earned impressions and higher engagement than the previous year's campaign. And this translated into higher brand equity, market share and growth. Turning to Home Care. Home Care grew 9.2% in Q1 '21, with a strong price growth of 12.5% and a volume decline of 2.9%, mostly across European and Latin American Home Care markets. In Europe, we have a combination of declining markets and pricing action, whereas in Latin America, it is more closely linked to price increases. This quarter saw the launch of a new range of fabric conditioners, which protect consumers clothes from damage and keep them looking better for longer. And we also launched Comfort fragrance beads in China. Sunlight Natural's dishwash liquid was extended into Chile and Vietnam. And this is a product that uses the world's first biosurfactant, which is 100% renewable, 100% biodegradable and also gentle on hands. Dirt is Good, which you'll know is the OMO brand in many markets, introduced Dilute at Home laundry liquids, containing unique and exclusive technology, which enables us to offer super concentrated products for dilution in the home. And it also allows us to reduce plastic packaging by 90% and the water in the manufacturing and distribution chain by 70%. Let me shift gears now and move to the cost environment, how inflation is impacting our business and how we are managing it. There are widespread inflationary pressures which we spoke about in detail last quarter, and there has been significant change in the world since then. Recent months have seen large price movements in the key commodity markets, and it is a very wide spectrum, from tea and coffee, where prices have fallen, cocoa, which is flat, to palm oil, crude oil and natural gas prices, which have increased significantly. We've highlighted on this chart some of the largest commodities for Unilever. And you can see that many of these sit at the upper end of the range of price inflation. Let me take you now one level down on the detail. On the left-hand side of this busy chart, you can see our commodity basket, broken down into 4 groupings and showing what we spend annually. On the right-hand side, we show the 10-year spot price trend of the most relevant commodities within each of these groupings. The index on the far right-hand side of the chart shows the average spot price in March 2022 relative to the 2020 average price, which we've rebased to 100 in each case. Palm oil, including palm kernel oil, is one of our biggest cost items. Prices sit at the upper end of the 10-year range and have accelerated since January. One of the factors driving this is substitution, which is the switch into palm oil from sunflower oil as the supply is impacted from Ukraine and Russia, which together represent 75% of global volumes. Soybean oil shows a similar picture. More widely, agricultural crop costs are impacted by the potential for reduced yields given Russia's position as a major source of fertilizers globally. The high crude oil price has a direct impact on petrochemicals, on freight and on logistics, as well as indirect effects on many other materials, including the substitution of biofuels for mineral fuels. And in packaging, we're seeing upwards pressure on plastic packaging and crude oil as well as higher cost of paper, pulp and aluminum, which consume a lot of energy and production, as shown here. Now this chart is one that we showed you in February. And it sets out the relationship between our material inflation and our gross margin. In February, we were managing a projected EUR 3.6 billion of net material inflation over the course of the year. Inflation in the first half is largely unchanged at around EUR 2.1 billion. And this is largely fixed now for the first half, but we do now expect much higher cost increases for the second half of 2022. Based on the latest projections, we now expect input cost inflation for H2 to be around EUR 2.7 billion. There is still significant uncertainty around this number given the volatility in materials prices. We've calculated the EUR 4.8 billion taking into account the spot prices today, the forward curve and the coverage that we have through inventory, contracts and hedges. We are close to fully covered in Q2 and around 45% covered for the second half. To manage this magnitude of cost challenge, we will continue to price responsibly while managing consumer demand elasticity and competitive dynamics. We are crafting our innovation pipeline, our product logic, our pack architecture to meet this challenge, while keeping our focus around the business on service, on efficiency and on savings. Agility and strong execution will be key, and we're off to a solid start, but these really are unprecedented times. So what does this mean for the outlook for 2022 and beyond? Well, with higher pricing, we now expect underlying sales growth in 2022 to be towards the top end of the previously guided range of 4.5% to 6.5%. We will navigate the inflationary pressure while investing for growth to support the long-term health of our brands. We will therefore continue to invest competitively in advertising, in R&D and in capital expenditure. And we will implement our new operating model without losing the improved momentum we have built, maintaining our cost discipline and delivering the leaner and simpler organization we have designed. We expect underlying operating margin for the first half to be within our guided 2022 range of between 16% and 17%. As a result of the further increase in input costs in the second half, we currently expect the full year underlying operating margin to be at the bottom end of that range. The higher growth in our latest outlook goes some way to offset the lower margin impact from the higher input costs. We will continue to drive savings hard and take action across all lines of the P&L. And if favorable exchange rates continue for the full year, then the overall impact on euro earnings is likely to be minimal. The greatest area of volatility, of course, is around the input costs, and we will update you again with our half year results. Looking beyond 2022, we still expect to restore margin through pricing, mix, volume leverage and savings delivery during 2022 and 2024 as market conditions normalize. And with that, let me hand you back to Richard to get started on the Q&A.
Richard Williams: Thank you, Graeme. [Operator Instructions] So our first question will be from Pinar Ergun at Morgan Stanley.
Pinar Ergun: The first one is on the margin outlook. Could you please explain to us why your margin outlook has gotten more cautious despite a higher pricing outlook? Are you more exposed to certain raw materials like you were indicating on palm oil? Is your regional exposure playing a role here? And what if raw materials continue climbing, will that put the updated margin guidance at risk? And then the second one is on consumer demand. Unilever is among a small group of consumer companies who've highlighted that consumer demand is getting weaker in response to higher pricing. Could you elaborate on that a little bit? Where are you seeing most down trading or outright lower demand? Is it in EMs? Is it among income-constrained consumers? Is it more widespread? And maybe more importantly, what are some of the steps you're taking to prepare for the quarters ahead assuming pressures on consumers do not abate?
Alan Jope: Graeme, why don't you take the question on margin outlook, and I'll talk about consumer demand?
Graeme Pitkethly: Sure thing. I mean, yes, very much -- we have a category footprint and the products that make up those categories which is relatively more exposed to commodities which are suffering the highest level of cost increases, hence, the volatility, and hence, the step-up in inflation that we've seen since we last spoke with the Q4 results. That translates into a need for pricing, a higher level of pricing that we showed on the -- in the presentation there. And we'll have to continue to move forward with pricing. Just as a reference point, we are currently, in terms of pricing coverage of the inflation that we have to date, we're sitting at about 68% coverage of both the net material inflation and the inflation that we're seeing in our production costs, what we call controlled costs, and in logistics costs. If you take the total of our cost bucket, the pricing actions to date only cover that to the extent of about 68%. So we'll have to continue to price. But we'll have to do that very responsibly and carefully. And we will have to get that balance right of demand elasticity. And just to repeat, we're currently seeing elasticity which is a little bit below the levels that we were expecting in our modeling, which is a good place to start from. But we do have to be very responsible around that. It is simply a question of timing. The pricing will catch up to repair the margin. We may see some easing in the commodity outlook. We'll continue to give you an update at the second half with what the latest data is that we see. And we hope that the information we're providing you with is helpful just to see really the difference between the levels of cost inflation that we are seeing and what some others in the sector are seeing because we are relatively exposed to these high levels of inflation. Alan?
Alan Jope: Yes. Thanks, Graeme. Pinar, let me pick up exactly where Graeme left off to talk about consumer demand. As you will have noticed, we have moved a little ahead of our sector on pricing. And so far, elasticities have been lower than we had anticipated. We are acutely aware of the overall pressure on consumer spending though. So we do continue -- whilst this conversation is very focused on price, I want to underscore the amount of work that's going on to manage the cost and mix side of the equation as well. There are quite some geographic differences. You'll have noticed that volumes -- we had positive volume growth in the 3 big markets that we call out for overall priority: U.S., India and China. We've seen softer volumes in Latin America. In particular, they are driven by high levels of pricing that we've taken. And in Europe, we've seen some volume declines as we have moved smartly ahead on price. Some of that coming from promo de-escalation, which we know has a short-term impact on volumes. We're not seeing particularly material differences between our categories. There's still a bigger impact from -- on category growth from the prior year comparator. So for example, some of our hygiene categories, we're still seeing elevated volumes last year. And that's reflected in softer volumes this year. So there's not a huge difference in category dynamics from the consumer. We're seeing both up-trading and down-trading happen. Remember, the consumers facing enormous pressure on utilities and gas petrol, et cetera. And in that context, the inflationary action in our sectors are relatively modest. But we are seeing some up-trading and some down-trading. And the biggest answer to your question on steps that we're taking is to play our portfolio. In most categories and most countries, we have a good, better, best offering. So about 45% of our business is in the mid-tier segment, 35% in the premium segment. And unusually, versus our peers, we have 20% in the value segment. And that provides some insulation from down-trading. So we have to look at this in quite a nuanced way geography by geography and look at our portfolio through this value, mid-tier and premium segment on how we'll manage demand going forward. Thanks, Pinar.
Richard Williams: Thanks, Alan. Next question comes from Guillaume Delmas at UBS.
Guillaume Gerard Delmas: 2 questions for me, please. The first one is on the -- your medium-term margin expectations. Because if I remember well, back in February, you were talking about margin being restored after 2022, with, I think you were using the word, the bulk coming back in 2023. This morning, the wording seems to be slightly different. I think in the press release and again on the call, Graeme, you talked about during 2023 and 2024. So my question here is, are you effectively signaling that your margin recovery could take more time than you initially anticipated? And I guess related to this point, just some clarification. When you talk about margins being restored, do you mean going back to the 2019 levels of 19%-plus? And then my second question is on volume growth. I mean we've seen some mid-single-digit volume contraction already in regions like LatAm and Europe. So I was wondering, what impact does this have on your capacity utilization? And basically, do you quickly get to a point whereby volume weakness creates additional margin headwinds?
Alan Jope: Graeme, you seem to be -- being asked a lot about margin outlook. So why don't you take Guillaume's first question and I'll come back on volume growth?
Graeme Pitkethly: Okay. Okay. I guess your question is what gives us confidence we can repair margins within 2 years when the visibility and cost is so very low. And it's a very good question. And yes, we have -- we are being a little bit more nuanced with the language that we're using around that. It's obviously uncertain, and we have to make assumptions around it. I want to be clear that we're not setting a new margin target or anything like that. And it's not a margin reset. But there is a lot of uncertainty and volatility around the costs. So it's difficult to be certain about the future. A couple of things to say. We've run some scenarios. And really, it's illustrative of the past experience that we've had historically and also the resilience of our model and the fact that, over time, we're able to price responsibly and recover high levels of cost inflation. Now what we're assuming in the recovery of margin over '23 and '24 is some normalization in cost inflation. And just remember that we will have seen in '21 and '22, if the '22 outlook stays where we see it at the moment, we will have seen EUR 6 billion of cost inflation over those 2 years. And if we weren't pricing, by the way, that would be about a 900 basis point impact on the margin of Unilever. So clearly, we have to catch up with price and do that responsibly. The other assumption that's required is that we get some carryover of pricing from '22 into '23, with relatively normalized pricing thereafter. But when you do various scenarios on that, you can see that the resilience of our model is very sensitive to just a small drop normalization in commodity pricing and some carryforward pricing. The margin can come back relatively quickly. In terms of the economics that are out there, Oxford Economics and the IMF are expecting inflation to drop sharply in '23. That's one perspective. But we've -- our work has been more focused on what needs to be true in order to see that pace of recovery. Your question is right, is about the pace of recovery, but we still see the ability to recover over the course of '23 and '24. In terms of, when we see a recovery, what do we mean to? We're not going to give a specific on that. We're not going to set a margin target for the business. But yes, we -- a normalization back to the sort of levels before the surge in inflation took place. That's what you should be thinking there.
Alan Jope: Thanks, Graeme. Guillaume, let me give a slightly more strategic answer to your question about volume growth and volume leverage. Our strategy is to price aggressively to protect the shape of our P&L. That's what gives us the ability to invest in the long-term health of our brands and our business. And just soak in that point that Graeme was making, that without pricing, we'd be looking at up to a 900 basis point impact on our margin. That would wipe out our ability to invest in our brands. So we are happy to take aggressive action on pricing to protect the ability to invest in our brands and our business. The second thing is our pricing is surgical. It is managed country by country, channel by channel, brand by brand, week by week. And we have multiple levers that we're pulling. Our net revenue management toolkit allows us to manage list pricing, pack price architecture, mix, promo pricing, trade margins. Thirdly, the consequence that we anticipate is low single-digit volume declines. And we're prepared to tolerate that as part of the leading on price to protect the long-term health of the business and shape of the P&L. And I can reassure you that the impact on capacity and factory utilization of very marginal volume declines like we've seen this quarter is utterly immaterial compared with the levels of inflationary pressure that Graeme is outlining. It is hardly an issue at all.
Richard Williams: Okay. Thanks for the question, Guillaume. Next question from Warren Ackerman at Barclays.
Warren Ackerman: Warren Ackerman here at Barclays. The first one is, can I just check on some of the investment lines, R&D, CapEx, and particularly brand and marketing investment this year just given what's going on with inflation? What is your expectation for brand and marketing in absolute and as a percentage of sales? And as a corollary to that, just is that going to be a help for margins this year? And then related on promos, I imagine it's been dialed back. Any kind of commentary around promos and brand and marketing, I think, would be helpful. And then just secondly, maybe just speaker a little bit deeper into what's going on, on inflation. There's obviously been a lot of talk around palm oils specifically with this Indonesian export ban. I'm wondering whether you can maybe specifically comment on that situation. And on inventory particularly, do you have any kind of Malaysian palm oil alternatives? And just generally -- I'm slightly surprised your hedging is only 45% coverage for the second half of the year given we're already almost in May. So, yes, if you could comment on palm oil and hedging coverage. I guess it must be very, very low coverage into '23 given it's only 45% for H2.
Alan Jope: Warren, well, -- let me start with investment in growth. And you can expect to see our CapEx investment go up in absolute and percent of sales. And we're getting a great ROI on R&D. So we would like to see that continue to move in a positive direction. BMI, our watchword is competitiveness. So we will make sure -- we absolutely will make sure that our marketing investment, particularly in media, is at competitive levels. We will not be using -- it was implicit in your question, Warren, will we be using BMI as a way of getting to a margin target? And the answer is no, we will not. We will invest what it takes to remain competitive. And we believe that we can do that within the margin guidance that we've given. All that being said, of course, it remains a very volatile situation. But our business winning, is in good shape, 58% on a moving annual total. Actually, I would expect that might come down a little bit in a couple of quarters as we lead on pricing. And our brand power is in very good shape. 80% of our brands have got stable or growing brand power. So we have been investing competitively, and we will continue to invest competitively. We will not use BMI as a balancing factor to get to a margin. And we do expect some promo de-escalation. But actually, we will remain competitive on promo spend as well. Then on commodities, and palm in particular, on this one, I think there's a lot of false information out there. Palm oil is fractionated into -- comes in 2 forms: crude palm oil, CPO, and palm kernel oil. We use a lot of palm kernel oil derivatives. And CPO, crude palm oil, is basically fractionated into 2 major types of material, oleins and stearins. Oleins is what's used in cooking oil, and that is what is subject to the export ban in Indonesia. Almost all of our palm oil that we use is either palm kernel oil derivatives or stearin derivatives. And so we're largely unaffected by the Indonesian export ban because it doesn't cover the classes of materials that we use in palm. We have extreme confidence on our access to supply and the prices that were locked in on palm, certainly for the next couple of quarters. So I know this has been an alarming development, but it's not a material issue for us in its current form.
Graeme Pitkethly: So just can I pick up?
Alan Jope: Sure.
Graeme Pitkethly: Let me pick up on your third question, Warren, and that was well played by the way, on hedging. So the 45% that we now see fixed for the second half of the year is not just through hedging. The principal amount of hedging is through the contracts we have in place through the inventories that we've purchased, as Alan just said, when it comes to Indonesia and CPO. So there's a combination of hedging, but a lot of it is through the long-term contracts and buying that we put in place and the inventories that we carry. We can only hedge commodities if there's a market for it. And across our EUR 20 billion or so buying base of commodities, that is possible on about 40% of that total spend, so about EUR 8 billion. And of course, hedging requires use of forwards and other contracts, which in the volatility we're seeing right now with the high inflation, it's not simple to extend hedges out in the same way that you could when inflation levels were at the sort of normalized EUR 200 to EUR 300 million year warrant. So I hope that's a little bit of context on it. It's -- don't think of it so much as hedging. Think of it as all the activities that we do within our procurement organization to buy the inventory, to contract for the longer term, to negotiate the impact of break clauses. That's where the -- you see the change in the dynamic of buying right now, the competitiveness of the buying process, the contractual terms, the sort of break clauses and reset clauses, and the amount of inventory that you can secure and the term of that inventory, that's what's changed within the marketplace to become much shorter in that sense.
Richard Williams: Okay. Thanks, Graeme. Quick to next question from James Edwardes Jones at RBC.
James Jones: A couple of quick ones, please. Firstly, the reorganization, I think you started implementing the changes this month. Could you just give us an update on how it's going so far? Any disruption? What's working well? What's working not so well? And secondly, I might have missed it, but I don't think you've given us a rolling 12-month market share numbers, percent gaining and holding share. Could you just give us that, please?
Alan Jope: Yes. Sure, James. Let me take both of those. The second one is a straightforward one. I mentioned it in the last answer actually, that we're at 58% of our business, winning share on a moving annual total basis, which is the number that we report. And that is only at where we're winning, not where we're holding. So we have a very binary measure on market share. And the number that you're looking for is 58%. I do, frankly, I think, that might be a high watermark over the next couple of quarters as we take the lead on pricing. But it's a very positive indicator of the health of our brands and the way they're holding up to the pricing that we're taking. As far as the reorganization is going, I must say we're very pleased with the progress. We're fully on track. We've appointed all leadership teams across the company have now been appointed. The new business group presidents are starting to develop their sharpened strategies for the 5 business groups. But accountability for delivering quarter 1 and quarter 2 remains with the current organization. And in fact, we've incentivized the organization for  first half delivery in its current shape just to make sure that no balls are dropped. And you asked, where is the disruption? Well, we're not seeing any disruption at the moment. I think if I characterize the mood in the company, there is almost universal enthusiasm for the new, simpler, more streamlined organization. There is some personal anxiety in -- particularly our kind of middle management about what does this mean for me and when will I know my future. And the answer to that question is over the next 5 weeks. So by the time we're into June, everyone in Unilever will know their destination role. And there will be some people leaving the company as a result of that. That's part of the savings delivery that we've committed to. Thanks, James.
Richard Williams: Thanks, Alan. Straight to Martin Deboo at Jefferies for our next question.
Martin Deboo: For me. The first one, I guess, is sort of how do we map uncharted territory on the top line and relative to guidance? If I look at your Q1 pricing and I look at the implied exit pricing and I look at the quantum of commodity inflation, it would seem to me that we're heading for the first time in Unilever's history for a double-digit pricing climate, either for the whole year or parts of the year. Tell me if I'm wrong, but that just seems to be where it's going to me. So the question is obviously one of elasticity. And what your guidance would suggest that if I'm right, do you think you're going to have probably 3% to 4% volume decline this year, i.e., significantly worse than Q1 and against easier comps. So I think the first question is, you're not going to give me a forecast, but am I thinking about the moving parts of top line correctly? And why are you expecting elasticity to go up through the year? I obviously understand there is a debate about long term versus short time elasticity. Second question is relatively straightforward,  Trian  do -- 2 simple questions. Do you -- are you aware that they have a presence on your shareholder register? And secondly, if they do, have you had or have they requested a meeting with you?
Alan Jope: Yes. Actually, Martin, I'll take both of those. I'm not going to comment on individual discussions with current or potential shareholders. We just don't do that. And so I'm afraid I'm going to leave you wanting on the second half of your question there. As far as pricing and volumes, I think we are in uncharted territory. I'm not sure if I would say it's unprecedented in Unilever's history. But certainly in the last 2 or 3 decades, we are entering a territory that we've not been in on pricing. I want to highlight though the difference in pricing between the developed world and the D&E world. The 8% price roughly in Q1 splits more or less 5 in the developed world and 10 in the developing world. And our D&E markets are quite used to that type of level of pricing because they're used to dealing with the double jeopardy of pricing from inflationary pressures from materials as well as from forex shifts. And so I think our confidence around D&E markets and pricing is fairly high. The U.S. is holding up extremely well. And we've, as you've seen, taken pretty substantial increases in the U.S. I think Europe is a tougher environment. And part of the way we've realized pricing in Europe is by deescalating promo activity. And I think that has had a short-term impact on volumes. But we are, yes, in aggregate, moving into high levels of pricing. And we're, I think, more uncertain about the impact in America -- in developed markets than we are in D&E markets. As far as specific volume declines are concerned, as you've seen, we're restricted to only 1% volume impact from 8% price in Q1. And we're not going to give precise numbers, but -- for the full year. But it will be low single digits. And in that regard, I would characterize that as a manageable volume decline.
Richard Williams: Okay. Thanks, Alan. Thanks for the question, Martin. Straight to Celine Pannuti at JPMorgan.
Celine Pannuti: My first question maybe is a follow-up. But on pricing  and you did say that your pricing action would help you to cover 68% of the cost. When -- if I take 8% pricing, I get to a EUR 6.2 billion cost number, which would be above the EUR 4.8 billion, probably the extra SG&A cost inflation you see. Is that right? Am I looking at the right number? And that would mean that pricing may be not accelerating through the year. So if you could help us on that. And the second question is on U.S. volumes. Could you say how much of your U.S. now is in Prestige and Nutrition? Because I see that in Nielsen data, the volumes sequentially worsen and yet your volume sequentially improved. So I just wanted to understand what's the discrepancy here?
Alan Jope: Graeme, why don't you take the first part?
Graeme Pitkethly: Yes. So the price coverage, just to anchor you in it, a price coverage of 100 would mean what do you have to price in order to restore margin back to 100%, the percentage margin, not the absolute profit margin, but the percentage margin back to 100%. And the 68% that I shared earlier is where we are at the end of Q1. So you can't extrapolate that out with -- sort of to Martin's point, we have to continue to accelerate on pricing in order to deal with the higher level of cost inflation that we're seeing. So we're not there yet. We're at 68%. Over time, we will bring that back to 100%. That's going to take us through this year, into '23 and '24 in order to get there. So that hopefully explains that.
Alan Jope: Thanks, Graeme. As far as the U.S. is concerned, well, North America now makes up EUR 11 billion of group turnover, so about 20% of our sales last year. Within that, our global business units, primarily Prestige and vitamins, minerals and supplements, represents EUR 1.5 billion to EUR 2 billion. And the balance of the business, which is what we have Nielsen data on is in [ root ] good health, and that's in contrast to a year ago. We're now 54% business, winning market share in the non-Prestige, non-VMS business that we measure in the U.S. And so hopefully, that gives you some sense of the numbers, Celine, on the absolute size of the business, the size of the global business units and the health of our mass business in the U.S.
Richard Williams: Thanks, Alan. Next question from John Ennis at Goldman Sachs.
John Ennis: My first question is on input sourcing and supply continuity. I guess with the number of supply and procurement challenges, will there be a need for either reformulations or SKU rationalization in certain business areas from your side? I'm just interested in hearing what your contingency plans are in this current challenging environment. And then my second question is on volume trends in Europe. I guess it was the region which looked as having the highest level of elasticity. Can you give a bit more context here by category, and whether this was more volume or mix driven from down trading? And given the timing of price negotiations in Europe with retailers, which I assume only really had a partial impact in the first quarter, is it fair to assume that you're expecting volume trends to further deteriorate in Europe?
Alan Jope: Thanks. John, I'll take the first question there about input sourcing. And let me start with the blanket statement, which is, despite extraordinary commodity markets and high levels of inflation, physical shortages have not been a characteristic of our business and nor do we expect it to be a characteristic going forward. So our ability to source materials has been very high. That being said, we do continuously work on product logic, that's our word for reformulation, as a way of accessing savings. So harmonizing the types of oils that we're using in our products, harmonizing the chocolate type across ice creams, simplifying and reducing the number of colors in bottles and on labels, using thinner and lighter deodorant cans means that we're using less aluminum. So that idea of reformulating, we used to call it blend flex, where we would flex the blend of oils in a product depending on the prevailing differential commodity costs. That's the skill that we have in the business. And is humming at full speed right now as we adjust to movements in commodity markets. SKU rationalization is a very healthy part of our ongoing business. So we are constantly planting and pruning. We're introducing new SKUs and pruning the tail constantly, but not specifically because of commodity inflation right now. So it's just an essential part of running a healthy business. Maybe on -- after covering input sourcing, I'll hand over to Graeme to perhaps decompose Europe a little bit more.
Graeme Pitkethly: John, so just clicking into Europe in particular through the volume lens. But let me talk generally first about pricing in Europe. I mean pricing was 5.4% in the first quarter and it was 0.7% in the fourth quarter. But I think the one of the interesting things to bear in mind is that Europe has structurally been for many years a deflationary market for Unilever. It's been negative 1% to 2% pricing. So the change to 5% pricing needs to be seen in the context of a part of the world where, in our categories, it's been strongly deflationary for many years. So the pricing effect relative to the norm is a little bit higher than the 5% that we report. Now that's a significant change, as I said, in the deflationary environment of the past. But it's absolutely needed, as Alan has said, to protect the P&L shape and to protect our ability to continue to invest in our brands and our business over the long term. Now there are a couple of things that impact the volume result that you see for Europe. First of all, there's quite a lot of market volume decline in Europe, particularly in Food & Refreshment, which is 60% of our European turnover. And what you're seeing there is that you're seeing the back year impact of the boost that we saw in Food & Refreshment through COVID lockdown. So still an element of high back year comparisons, et cetera. And then there's a different -- another dynamic that is taking place is price increases, of course. And there are pricing windows and a very structured customer dynamic in Europe. I said in the speech that we've made good progress, but we're not closed on everything in Europe. There are certain windows and certain negotiations that are still ongoing. And the third dynamic, John, is that we have done some promo optimization. We've taken promos down in terms of depth and frequency. That's to try and stabilize prices ahead of list price increases coming forward which we're negotiating. So -- and also promo de-escalation and promo efficiency as a means to leave our price. An example of the customer negotiations that are still ongoing would be in Germany, in particular, where we're still working very diligently to come to an agreement there.
Richard Williams: Okay. Thanks, Graeme. Now time has just hit the hour, and I know everybody has a very busy day. So we'll bring the call to a close there. If you do have any further questions, please e-mail the IR team, and we'll set up a time to speak to you. Thanks, everybody, and enjoy the rest of the day.
Operator: Thank you. This now concludes today's call. Thank you all for joining. You may now disconnect your lines. Goodbye.